Operator: Good day, and welcome to the Coach conference call. Today's call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to Senior Vice President of Investor Relations and Corporate Communications at Coach, Ms. Andrea Shaw Resnick. You may begin.
Andrea Shaw Resnick: Thank you. Good morning. Thank you for joining us. With me today to discuss our quarterly results are Victor Luis, Coach's Chief Executive Officer; and Jane Nielsen, Coach's CFO. Before we begin, we must point out that this conference call will involve certain forward-looking statements including projections for our business in the current or future quarters or fiscal years. These statements are based upon a number of continuing assumptions. Future results may differ materially from our current expectations based upon risks and uncertainties such as expected economic trends or our ability to anticipate consumer preferences. Please refer to our latest Annual Report on Form 10-K and our other filings with the Securities and Exchange Commission for a complete list of risks and important factors. Also, please note that historical trends may not be indicative of future performance. Now, let me outline the speakers and topics for this conference call. Victor Luis will provide an overall summary of our fourth fiscal quarter and annual 2014 results, and will also discuss our progress on global initiatives. Jane Nielsen will conclude with details on financial and operational results for the quarter and year, along with our outlook for FY '15. Following that, we will hold a question-and-answer session, where we will be joined by Francine Della Badia, President, North America Retail. This Q&A session will end shortly before 9:30 AM. Victor will then conclude with some brief summary comments. I'd now like to introduce Victor Luis, Coach's CEO.
Victor Luis: Good morning. Thanks, Andrea, and welcome everyone. As noted in our press release, the fourth quarter capped a challenging year for the company, most notably in the North American women's bag and accessory business. However, it was also a year of many accomplishments for Coach, including the successful integration of our retail businesses in Europe, surpassing $500 million in sales in China and driving men's to about $700 million in sales globally. Most importantly, we laid the groundwork for our transformation to a modern luxury lifestyle brand across all key consumer touch points, product, stores and marketing. A crucial milestone was the arrival of Executive Creative Director, Stuart Vevers, last September, who has already had a significant impact on the creative direction of the brand. This was highlighted by our first New York Fashion Week presentation in February, and the editorial praise his inaugural collection received globally. We also developed our new retail concept, inspired by our New York City heritage, using an iconic materials palette that is distinctively Coach. And throughout the year, we continue to refine our global marketing message, just announcing our new campaign for fall. Most recently at our Analyst Day in June, we presented our comprehensive long-term strategic plan to reinvigorate our business, and rewrite the Coach playbook to achieve growth and leadership. We are taking the key transformation actions to enable the strategic path forward, embarking on the execution phase of our journey. Turning to the results of last quarter, some key financials were: first, net sales on a reported basis totaled $1.14 billion versus $1.22 billion a year ago, a decrease of 7%. On a constant currency basis, sales declined 6% for the quarter. Second, earnings per share totaled $0.59 as compared to $0.89 in the prior year's fourth quarter, excluding transformation-related charges in both periods. Third, international sales increased 7% to $414 million from $388 million last year. On a constant currency basis, international sales rose 9%. Sales in China remained very strong, increasing 20% with a continuation of double-digit comps, while sales in our directly-operated locations in Asia and Europe rose significantly as well. And fourth, North American sales fell 16% to $691 million from $825 million last year on a 17% comparable store sales decrease. During the quarter, looking at distribution, the company closed six North American retail locations and opened two net new outlet locations. At the end of FY '14, there were 332 retail and 207 outlet stores in about a 160 outlet malls in North America. For the full year, we closed five net locations in North America. Moving on to China. During the quarter, we opened six net new locations, all on the Mainland, brining the total to 153 locations, including 134 on the Mainland in 55 cities. This represented a net increase of 27 for the year. In Japan, we had one net closure during the quarter. This took us seven net openings for FY '14. At yearend, there were 198 directly-operated locations, which include 151 retail and 47 outlet locations in about 30 outlet malls. Also in Asia, during the fourth quarter, we opened one location in Malaysia, taking us to five net openings for the year and brining the total to 97 directly-operated locations in the balance of Asia, including 48 in South Korea, 27 in Taiwan, 13 in Malaysia and nine in Singapore. In Coach Europe, we opened one directly-operated door during the period for a total of nine directly-operated door openings during FY '14. As of the end of the quarter, there were 27 directly-operated locations in Europe across the U.K., France, Ireland, Spain, Portugal, Germany and Italy. We also opened several wholesale doors. Moving on to sales by channel and geography and starting with our domestic businesses. Our total revenues in North America declined 16% for the quarter with our directly-operated businesses down 15%. As noted, total Q4 same-store sales declined 17%. For the full year, sales in North America fell 11% with our directly-operated businesses down 10% on a 15% comp decline. In department stores, our sales trend at POS were modestly above prior year during the fourth quarter, while shipments into department stores declined as expected. The outperformance vis-à-vis our retail stores was consistent with prior quarters and reflective of the overall channel and generally better traffic trends than the malls at large. For the year, our department store sales at POS were slightly lower. For both the quarter and the year, our women's handbag and accessory business was challenged, facing both increased competition and intensified promotional activity, while the overall category continued to grow. Overall, we estimate that growth in the North American premium women's market, excluding moderate trends, grew at a high-single digit rate, topping $11 billion, as bags and accessories continue to represent a growing portion of her wardrobing spend. The premium men's market in North America demonstrated continued momentum from a much smaller base, growing at a low-double digit pace to over $1 billion. Therefore, the combined North American premium women's and men's market rose about 9% in FY '14 to over $12 billion, with Coach representing a combined market share of about 23%. Similar to what we've done over the last few quarters, I want to provide some underlying texture to the comp performance, both in those areas where we've seen progress and those areas where we see the opportunity to improve our positioning in North America. As was the case industry-wide, in-store traffic continue to decline with the ShopperTrak retail traffic index, which includes outdoor lifestyle and outlet malls, still down about 8% for the quarter, but an improvement from the double-digit decline in the March quarter, helped by the Easter shift into April and better weather. The NRTI, focused on indoor malls, having less of a weather impact, was up slightly 2% in the quarter, after declining slightly in the previous quarter. In aggregate, conversion and transaction size were neutral to our store business, while traffic drove the comp declines. As noted on our previous calls during this fiscal year and as expected, our online business dampened our overall North America comp in the fourth quarter by about 3 percentage points. Specifically, our year-over-year comparisons continue to be impacted by our strategic decisions to both eliminate third-party flash events this fiscal year and limit access and invitations to our outlet flash site. Excluding these factors, our Internet comp would have contributed to our aggregate performance. There were some sustained themes in our North American women's business throughout the year, including our fourth quarter. Leather continues to outpace logo across all channels and we are designing into this trend. It's a long-term shift that favors Coach, given our heritage in leather goods. Small bags also continue to trend well. In addition, we saw a relative strength in our elevated product in our retail stores. More generally, the above $400 price bucket grew in penetration and represented 21% of handbag sales versus roughly 16% last year. Outside of handbags, we continue to see relative strength in our lifestyle categories in Q4. Footwear, which relaunched last March in about 170 retail locations, held its penetration at last year's level at about 12% of retail store sales, while we are also seeing a positive response through our expanded men's and women's footwear assortment in outlet stores. We remain focused on building our market share within the fragmented nearly $25 billion global premium footwear category through both distribution, adding international and wholesale doors and by maximizing footwear productivity through mix, increasing AURs and overall penetration levels across our businesses. At the end of Q4, about 285 Coach International retail locations offered the updated women's fashion collection, and the response from customers has been excellent. We remain confident that Coach's increasing fashion credibility, the inbuilt through Stuart's collections, will provide a much stronger platform for our brand development of footwear and other lifestyle categories. Turning to men's, which represents 18% of the global category spend or about $7 billion today, and is expected to grow faster than women's at about a 10% rate over the next five years. As we've discussed, we're also continuing to drive our men's business globally, through new standalone and dual gender stores. In the fourth quarter, Coach's sales of men's bags and accessories continued to rise, taking the year to about $700 million globally. Looking ahead, we remain bullish about the prospects of our men's global business. However, given the announced brand transformation initiatives, including slower global distribution growth and the planned pullback in our North America e-outlet business this year, we are now targeting $1 billion in sales in FY '17, one year later than our original target. Turning now to our international segment, which represents about a-third of Coach's business. Sales rose 9% on a constant currency basis in the fourth quarter and 7% on a reported basis, primarily impacted by a weaker yen on a year-over-year basis. As mentioned, China sales rose about 20% from prior year, taking the full year to $545 million, fuelled by double-digit same-store sales and distribution growth. We are pleased by the continued development of this market, which bodes well for our global travel retail businesses, where Mainland Chinese tourists play an increasingly important role. Further, Coach is already recognized both as a dual gender and lifestyle brand, as men's products and women's lifestyle categories, taken together, represent roughly a-third of our sales. Our other Asia direct businesses outside of China and Japan, South Korea, Taiwan, Malaysia and Singapore, also posted strong aggregate growth increasing at a double-digit rate for the quarter with comparable store sales gains. In Japan, we posted a 6% decrease in constant currency, due in large part to the impact of the April consumption tax increase. Dollar sales declined 10% reflecting the weaker yen. In Europe, where our brand is small, but growing rapidly, we generated significant sales growth at POS and double-digit comps in the quarter. We continue to believe that Europe represents a significant long-term opportunity for Coach, both with domestic shoppers and the international tourists, notably in key European cities, where the affordable luxury segment is outperforming traditional luxury. As mentioned, during our Analyst Day in June, we announced our long-term strategic plan and have taken significant steps to set the foundation for a return to strong growth by streamlining our businesses, continuing to optimize our store fleet in North America and committing to additional brand investments, as we begin to execute our comprehensive transformation plan. Importantly, our focus remains on the long-term growth initiatives we have previously shared. First and most broadly, growing our business in North America and worldwide by transforming into a lifestyle brand; second, leveraging the global opportunity by aggressively growing our international businesses; third, tapping into the large and growing men's accessory market and other lifestyle categories; and fourth, harnessing the growing power of the digital world. We have also discussed our wholistic strategy to position Coach, as a global modern luxury brand, further differentiating ourselves from the accessible luxury positioning that we defined. From a business perspective, this centers on our product, stores and marketing. As we look to FY '15, we're investing to achieve long-term sustainable growth and a return to best-in-class profitability during our planning horizon. We are particularly excited about the replatforming of our brand, with the launch of Stuart's first collection starting this fall. We will also be introducing our new modern luxury retail concept in several key locations during holiday. Our global brand message will reinforce our distinctive positioning of effortless New York style through the use of iconic brand elements and the city's dynamic landscape as backdrop. Taken together, these initiatives will pave the way for the celebration of our 75th Anniversary commencing in September of 2015. To this end, there are several key strategic priorities that we are now focused on and will implement across our distribution network throughout next year. First, in North America, where our priority is restoring productivity, we will close our underperforming stores and rebuild through flagships in our top 12 market. In addition, we will broaden our presentation in U.S. department stores, including moving to more open, accessible and fully-branded displays, changing our product offering, driving relevance and making Coach more shoppable. We will be further developing our outlet strategy to maximize our modern luxury merchandizing strategies, product flow and leverage our new store concept. And finally, we will evolve our North American promotional strategies to continue to reduce the volume of promotional messaging and sales to our e-outlet store events. Internationally, we remain focused on our largest growth opportunities and the implementation of our brand transformation, including in China, where we are fine tuning our strategy, given the shifting marketplace. In addition, other key Asian markets and Europe offer significant potential for the Coach brand. In line with our plan, over the next two or three years we will be making significant investments in building new flagship stores and renovating existing flagships to our new concept with a key focus on international cities. So looking at our FY '15 plan globally and starting with distribution. We expect that our square footage globally and across all channels will increase about 2% in FY '15 compared to 7% in FY '14, a marked slowdown reflecting our North American fleet optimization. Our overarching focus will be on renovations and remodels to drive productivity. To this point, in North America, our directly-operated square footage will be down around 5%, given the 70 retail and 15 outlet closures. Offset by the number of expansions within the context of our transformation and a number of outlet store openings mentioned during our Analyst Day presentation. In retail, we expect to execute on the majority of store closures in the first half of the fiscal year. Store investment activities will be timed to follow the launch of our product, marketing and customer experience initiatives this fall, with our first new retail concepts debuting in November. In outlet, our store closures will take place throughout the fiscal year, with Stuart's product for outlet launching in the second half. Separately, reductions in our EOS event cadence began this quarter and will be phased in over the year. And in wholesale, we are moving to more open accessible displays and rolling out a shop manager program. We expect our footprint in department stores to increase modestly in FY '15. We plan to add about 40 locations and about 4% square footage, while converting about 250 to 300 locations from case line presentations to open sell. A move we delayed from FY '14 to align with the launch our new retail concept. Turning to China. As mentioned at our Analyst Day, market dynamics are changing, with the emergence of many new large scale shopping malls and there will be clear winners and losers among retail developments going forward. Given these shifting dynamics in the rapidly evolving macro and competitive environment, we are refining our growth strategies and investing in brand transformation to solidify our leadership position. Importantly, we will concentrate on fleet renewal in Shanghai and Beijing, impacting 80% of traffic by FY '16 and 100% by FY '17. We will also open regional flagship doors and reinforce Tier 1 and Tier 2 city distribution, while we continue to capitalize on Tier 3 and Tier 4 opportunities that are sufficiently developed. In terms of outlets, we will continue to be highly selective with our openings, focused on the best managed and brand appropriate developments. Through marketing, we will build awareness and desire, leveraging our new marketing campaign and promotional model to build the brand awareness and drive traffic. Therefore, looking to FY '15 and given these changing priorities, we are planning distribution somewhat more conservatively. We are planning to open about 20 stores and could have about 10 closures, resulting in around 10 net openings. And we would expect China sales of over $600 million, driven by both distribution and positive comps, given the deceleration in square footage with the higher proportion coming from expansions than in the past and a focus of new unit openings in exiting markets. While, we expect to open a few stores in our other direct Asia markets outside of China and Japan in FY '15, our portfolio approach is focused on maximizing productivity with only modest growth of our footprint. We have been realizing the benefits of Coach's direct management in these markets, and are pleased with the development of both our teams and our brand. Turing to Japan, our largest market outside of North America, we will leverage our brand transformation to positively impact brand perceptions, reengaging our core consumer, while appealing to the category engaged and millennial. Led by retail, our brand transformation plans, include renovation of key doors in Tokyo, representing over 70% of the traffic by the end of FY '16, including a new flagship store in Shinjuku, set to open in October, which will be our first modern luxury retail store in Japan. We will also renovate key locations in other important cities throughout the country, including our flagships stores in Ginza and Shibuya this spring. In FY '15, we expect the total number of locations to remain the same, with slight square footage growth from the new flagship and expansions of a few highly productive locations. Most generally, we would expect the continuation of current trends in Japan, given the ongoing drag from the consumption tax increase, which won't anniversary until next April. Moving to Europe, which is a large and fragmented market representing about 20% of the total global men's and women's premium bag and accessory category, and represents the largest white space for Coach. While our current business in Europe is very small with sales at retail of just over $60 million, we see a big opportunity for brands at our price point, which represent the fastest growing segment of the market. Our evolving design direction resonates with the European consumer. Our price positioning and quality offer compelling value, while our heritage linked to New York Fashion creates a differentiated positioning. We see brand transformation as an opportunity to provide shoppers in this region with the clearer and more relevant alternative to the traditional luxury brands. In FY '15, we expect to grow our business to over $100 million, adding about 15 directly-operated locations and more than 100 wholesale locations. Our goal is to achieve over a $0.5 billion in sales at retail, representing a mid -single digit share of the premium men's and women's bag and accessory market over our planning horizon. As you know, we also have significant growing distributor run businesses in other countries. Our primary areas of focus for what we call domestic-focused international wholesale are: first, other Asia-Pacific markets; second, Central and South America; and third, the Middle East. We also believe there is a significant opportunity for the Coach brand in global travel retail, which represents the majority of our international wholesale sales. Before handing the call over to Jane Nielsen, our CFO, I wanted to reinforce the key points from our Analyst Day about the future of Coach. First and foremost, we are an amazing brand and we compete in a growing and very attractive category. At the same time, understanding that we compete on a playing field that is changing dramatically, we as a management team have clear awareness of this evolving market context and the clarity on how to address our challenges and capture the great opportunity that is ahead of us. Importantly, we have the right leaders, the history of operational excellence and the resources to execute our plan. While this will be a journey, the opportunities on the other side are compelling for our brands, our team and our shareholders. And as I have stated, as we continue our journey, we are committed to helping you follow and measure our progress. Now, I'll ask Jane to provide some additional detail on our financials and outlook for the balance of the year. Jane?
Jane Hamilton Nielsen: Thanks, Victor. Victor has just taken you through the highlights and strategies. Let me now take you through some of the important financial details of our fourth quarter and fiscal year results, as well as our outlook for FY '15. Our quarterly revenues declined 7% with North America down 16% and international up 7%. As noted, on a constant currency basis revenues decreased 6% overall with international sales up 9%. For the fiscal year, sales decreased 5% totaling $4.81 billion with North America down 11% and international up 6%. On a constant currency basis total sales declined 3% for the year with international sales up 12%. Excluding transformation and other related charges, net income for the quarter totaled $164 million with earnings per diluted share of $0.59. This compared to net income of $254 million and earnings per share of $0.89 in the prior-year's fourth quarter, excluding restructuring and transformation related charges. For the quarter, operating income totaled $231 million versus $371 million last year on a non-GAAP basis, while operating margin was 20.4% versus 30.3%. During the quarter, gross profit totaled $789 million as compared to $892 million a year ago, while gross margin was 69.4% versus 73%. SG&A expenses as a percentage of net sales totaled 49% compared to 42.6% in the year-ago quarter, all on a non-GAAP basis. For the full year FY '14, operating income totaled $1.25 billion on a non-GAAP basis compared to $1.58 billion in the year-ago period. Also on a non-GAAP basis, operating margin was 26% versus 31.1% last year. Non-GAAP gross profit totaled $3.38 billion from $3.7 billion a year ago with gross margin rate of 70.3% versus 73% a year ago. SG&A expenses, as a percentage of net sales, totaled 44.3% compared to 41.9% in fiscal 2013. As I turn to GAAP metrics, let me recap key transformation and other related charges. For context, and as previously announced at our Analyst Day, and at subsequent filings, we expect to incur pre-tax charges of approximately $250 million to $300 million associated with our transformation plan. A portion of which, we reflected in our fiscal fourth quarter 2014 results and the remainder to be substantially incurred during FY '15. These charges are related to inventory and fleet-related cost, primarily in North America, including impairment, accelerated depreciation and severance associated with store closures. In total, we expect to capture $70 million in savings related to our transformation initiative in fiscal 2015, and approximately $150 million in ongoing annual savings beginning in fiscal 2016. During the fourth quarter of FY '14, we recorded charges of approximately $130 million for transformation and other related actions. These charges consisted primarily of the realignment of inventory, impairment charges and a portion of the cost related to store closures. In aggregate, these actions increased our cost by $82 million and SG&A expenses by $49 million in the period, negatively impacting net income by $88 million after-tax or $0.31 per diluted share. In July, following our fiscal yearend, we announced the elimination of over 150 jobs related to our organizational effectiveness initiatives, representing a 6% decrease in global corporate staffing levels. This plan will drive efficiencies across our business by streamlining our organization and leveraging our global capability, resulting in savings that will in part fund key investments related to our transformation. In the fourth quarter of FY '13, the company recorded charges of $53 million for restructuring and transformation. In aggregate, these actions increase the company's SG&A expenses by $48 million and cost of sales by $5 million in the period, negatively impacting net income by $33 million after-tax or $0.11 per diluted share. Therefore, including these charges reported net income for the fourth quarter of fiscal 2014 totaled $75 million, with earnings per diluted share of $0.27, bringing total year net income to $781 million and earnings per share of $2.79. This compares to FY '13 fourth quarter net income of $221 million, with earnings per diluted share of $0.78, bringing the total year FY '13 net income to $1.03 billion and earnings per share of $3.61 on a GAAP basis. Moving to the balance sheet. Inventory levels including our inventory realignment actions last quarter end were $526 million, about even with FY '13 yearend. Cash and short-term investments stood at $869 million as compared to $1.1 billion a year ago, substantially held outside the U.S. As noted earlier this year, we continue to deploy international cash into high-quality investments with higher yields and durations over a year, and in turn, there is a shift between cash and short-term investments into other non-current assets. As expected, we ended the fourth quarter with $140 million outstanding on our credit facility in order to cover our working capital needs in light of investments in our business and new corporate headquarters. During fiscal 2014, we repurchased and retired over 10 million shares of common stock at an average cost of $51.27, spending about $525 million. At the end of the year, approximately $835 million remained under the company's current repurchase authorization. As noted in our press release, the Board declared a quarterly cash dividend of $0.3375 per common share payable in late September, maintaining our annual rate of $1.35. We remained strongly committed to our dividend. And as our transformation takes hold, we expect to resume increasing our dividend at least in line with net income growth. Net cash from operating activities in the fourth quarter was $360 million compared to $375 million last year during Q4. Free cash flow in the fourth quarter was an inflow of $254 million versus $293 million in the same period last year. Our CapEx spending was $62 million versus $81 million in the same quarter a year ago. For the full fiscal year 2014, net cash from operating activities was $985 million compared to $1.4 billion a year ago. Free cash flow in fiscal year '14 was an inflow of $766 million versus $1.2 billion in fiscal year '13. CapEx spending totaled $220 million for the year compared to $241 million in the prior year. The decline from previous guidance of about $250 million to $260 million related to a further shift in the timing of retail store and wholesale remodel and conversions into FY '15. We expect CapEx for FY '15 to be in the area of $350 million, excluding the cost associated with the new headquarters, which are now expected to be approximately a $100 million in FY '15 given construction timing estimates. Turning now to our financial outlook for FY '15, as our annual plans have not changed from those shared during our June Analyst Day meeting, I'll be brief. First on sales. We expect to deliver a low-double digit decline both in constant currency and on a reported basis in fiscal 2015, largely due to our reduced promotion and store closure activity. We are projecting a high-teens comp decline in North America store with our e-outlet pressuring the aggregate North America comp by an additional 10 points. This equates to a mid-to-high 20% decline in aggregate comps. Gross margin is projected to be 69% to 70% for the year with higher sourcing cost largely offset by favorable channel mix and lower promotional activity. SG&A expenses are expected to grow at a low-to-mid single-digit rate reflective of our increased marketing spend and transformation initiatives. When modeling the year, bear in mind that our second and third quarter compare will show the most significant increases given the prior-year dollar decline and the timing of our marketing spend in FY '15. Taken together, we would expect operating margin to be in the high-teens. And finally, our tax rate is expected to be in the area of 32% for the year, as we do not expect to anniversary some of the one-time tax benefits we generated in the second half of FY '14. As we aggressively invest in our business, it's important to keep in mind that we are embarking on this journey from the position of financial strength. We plan to fund investment activities from current cash flows, while maintaining our dividend. We have a strong and flexible balance sheet, with about a $1 billion in cash and investments and low leverage. We can continue to access the capital market at attractive rate as needed to fund our headquarter investment. Over the next few years, our first priority is to invest in our business, as we have a compelling opportunity to drive sustainable growth and value-creation. And we're putting our capital against this opportunity. Our second priority, strategic acquisitions is also about growth. While, we have nothing planned eminently, we want to have the flexibility to act, if and when it's in the best interest of Coach and our shareholder. And third, capital returns. As I've stated before, as our transformation takes hold, we expect to resume growing our dividend at least in line with net income growth. Underpinning all three of these priorities are our guardrails for allocating capital effectively, maintaining strategic flexibility, strong liquidity and access to the capital markets. In closing, our transformation required substantial investment and focused execution. We have a clear strategy and a well-articulated implementation plan for FY '15. We expect to realize a positive impact on the annual financials beginning in FY '16 with FY '17 being the year when we return to growth in line with the category. We have the resources to fund our plan, while maintaining our dividend during our heavy investment period. Ultimately, our objective is to restore Coach to a place of best-in-class profitability and sustainable growth. I'd now like to open it up to Q&A.
Operator: (Operator Instructions) The first question today is from Bob Durbil with Nomura Securities.
Bob Durbil - Nomura Securities: I had two questions, quick questions, related questions on the dividend and the repurchase plans. There has been just a lot of discussion about the sustainability of the dividend at the current levels, given your low level of U.S. cash, your domestic cash flow generation, and the expenditure on your New York headquarters. Can you just reaffirm whether or not you see the dividend being at risk, and sort of what could lead to a change in dividend policy? And the second question that I have is just more housekeeping, but it does sound like the share repurchase program is on hiatus for now, like what share count should we be modeling in the FY '15 numbers?
Jane Hamilton Nielsen: Sure. Thanks Bob. We have taken a careful look at, as we laid out in Analyst Day, at our cash flows and our investments needs across our business. And our cash flows and strong balance sheet really allow us to fund our transformation investment and maintain our dividends at our current level. So the $1.35, the annual dividend that we talked about today with our dividend announcement was an attractive yield now at 4%. As we have indicated, we'll fund our headquarter building, a long-term asset with long-term debt. And at the current attractive interest rates we expect that that's a strong capital plan. We have spent about $210 million on our headquarters and have another $540 million to fund over the next few years. And we factored that into our planning. So we feel strongly about our ability to continue to support our dividend. We're committed to our dividend. And as we said, as our transformation takes hold, we'd expect to grow our dividend with our net income growth, and that's our long-term outlook. As you think about next year, Bob, we closed the year with 277 million shares outstanding. And I would expect with options that modeling about 278 million shares will put in a great stead for FY '15.
Operator: The next question is from Oliver Chen with Citigroup.
Oliver Chen - Citigroup: Regarding the road to becoming a modern luxury company, the evolution there, your comments on the outlet opportunity in the second half, could you just share with us some details on how you see the product portfolio evolving there? And what are the biggest opportunities? And also just as a follow-up, as you engage in the opportunity for lower promotional pressure, what's the timing on that happening?
Francine Della Badia: Oliver, its Fran. I'll take this question. Stuart's product that he's been working on in designing is set to really launch during the second half in outlet. And as we have talked about, what you'll see very consistently is us lessening our dependence on logo product, putting more emphasis on leather and really incorporating all of the design codes from our brand DNA that will be reflected in more updated and relevant product for the outlet channel. At the same time, that newness will allow us to create more value for customers and put that product into the market at slightly higher average unit retails than where we are today. The biggest opportunity in terms of lessening promotional strategy is really EOS. That's the most significant strategic initiative that we have. And we know, we've been putting out a lot of promotional impressions in the marketplace by pulling that back. We'll really reduce the amount of promotional impression that are out in the market.
Oliver Chen - Citigroup: And Jane, on the comp guidance for FY '15, is average unit retail, how do you see average unit retail evolving? Is it higher due to the lower use of EOS?
Jane Hamilton Nielsen: The biggest impact in terms of AUR that we're modeling, we are going to see some movement as you've seen in our above $400 handbag, we'll see some movement in price point. And then lower promotional activity, both in-store and EOS will be a factor in terms of lower discount rates in terms of realizing a higher AUR.
Oliver Chen - Citigroup: The product in Paris in the department stores looks great, so best of luck.
Operator: The next question is from Barbara Wyckoff with CLSA.
Barbara Wyckoff - CLSA: Can you talk about the sales in China versus the United States, strength by classification, men's versus women's, regular price versus outlet? And is there a significant difference between what's working in Hong Kong versus Greater China?
Victor Luis: In terms of what's working between Hong Kong and Greater China is vastly driven by the very large percentage of Mainland Chinese stores, so I would say there was a dramatic difference. The local Hong Kong consumer market is quite small. And of course, we do have one or two locations, which do specifically cater to that consumer where we do tweak the assortment. The consumer there tends to be a little bit more, I would say, fashion-engaged with current trend. And certainly, the team on the ground there is catering to them through assortment, not only, of course in our women's, but also in our men's collections as well. As I touched on in my prepared notes, Barbara, in terms of the categories in China, both, and I would call it Greater China, Mainland, Hong Kong and Macau, which we refer to as Greater China at Coach, the penetration of men's and lifestyle categories together is at about a-third, which compares to approximately 20% here in the U.S. That is driven not only by men's itself, but also with by very good penetrations, which are increasing in our outerwear businesses as well as in our very nascent, but developing footwear business as well. And we started with those strategies very early on. We're still a very small, and I would say, developing brand in China in many ways. From an awareness perspective, our netted awareness in China is only 18%, which compares with, say 58% in Japan, 76% in the U.S. So the opportunity for us is truly boundless in that market.
Operator: The next question is from Brian Tunick with JPMC.
Brian Tunick - JPMC: I guess two questions. Was wondering from a marketing and product perspective, could you just maybe remind us sort of, it doesn't sound like this quarter obviously is going to be a big inflection, but you talked about the second quarter, third quarter. Can you talk about sort of when we're going to see or the customer is going to see a bulk of the marketing Stuart's product hitting the stores? Just maybe walk us through that thought process? And then, secondarily, on the 70 retail store closings, can you maybe remind us sort of, what's the productivity of those stores that are closing versus the chain average? Are you assuming transfer? Just give us some idea of how you think the 70 retail closings are going to play out?
Jane Hamilton Nielsen: So we start with the retail closures.
Victor Luis: Yes, Fran will start with the retail closures.
Francine Della Badia: Sure. Brian, as we said on the Analyst Day, we got to the number of 70 store closures, because they're the least productive stores in the fleet. So their impact on the overall topline from a profitability perspective will be very minimal. We expect to see a little bit of transfer to other stores, but it will have a small impact on comp improvement.
Victor Luis: In terms of the rollouts of our transformation initiatives across products, marketing, as well as our store renovations, Brian, it really does start in the second quarter. Product will commence hitting in early September on certain locations, and be across the world by mid-September. Marketing will also hit at approximately the same time. And then store renovation start later in the second quarter, with first locations opening here in North America as well or in Shinjuku, Japan that I mentioned earlier in the October-November time period. I would suspect that right now our planning is showing approximately 15 to 16 locations, should there not be any shift in the new concept by holiday. And then across the world, we will have in FY '15 16 new open doors in the new concept and approximately 150 doors that will be moved into the new concept, if you will, renovate it in the new concept by the end of FY '15.
Jane Hamilton Nielsen: I'm just going to add one thing, Brian, there. If you remember, we actually had SG&A dollar decline in both our second quarter of FY '14 and our third quarter of FY '14. And so when we referenced that those were going to be higher SG&A dollar growth quarters, we were looking at that versus the FY '14 decline, so they'll look higher in the SG&A dollar growth in Q2 and Q3 of FY '15.
Operator: The next question is from Ike Boruchow with Sterne, Agee.
Ike Boruchow - Sterne, Agee: Victor, you've talked about the strategy to move away from the online factory sales this year. I was just wondering if you could give us a little more color as to help us kind of understand the impact. Maybe could you tell us what percent of U.S. sales accounted for EOS last year and where you're trying to lower that penetration too? And then also, when does that initiative really accelerate? Because you said it was a 3 point hit this quarter, but you're expecting a 10 point negative hit for next year. So just kind of curious when we build out our quarterly models, when would the impact start to become greater?
Victor Luis: As mentioned, decrease in the cadence of events is really being phased in throughout the year. And it has started this quarter, where we're right now at approximately four events per week. That then decreases further in the second quarter. And by the second half of the year, we will be at approximately one event per month. EOS or e-outlet business was over 15% of North American sales at about $0.5 billion.
Jane Hamilton Nielsen: And if you're thinking about comps, we expect that our in-store comps will improve moderately, as we move through the year, but the impact of EOS will be greater as we move through the year. So the aggregate comps will be relatively stable over the course of the year.
Victor Luis: The number I gave you, the $0.50 billion, is representative of total e-commerce sales including EOS.
Operator: The next question is from Ed Yruma with KeyBanc Capital Markets.
Ed Yruma - KeyBanc Capital Markets: I was wondering if you could delineate more specifically the inventory component of the impairment and then more specifically I guess how do you think about when you impair inventory versus just flowing it through the P&L as a normal markdown.
Jane Hamilton Nielsen: So, Ed, the way we look at inventory was consistent with our transformation. We look at all of our product inventory and looked at certain products that we thought were not consistent with the brand image that we were trying to move into, as we moved into Stuart's design aesthetic and looked at whole product, whole SKU lines that we eliminated from inventory and took those as a write-off rather than flowing them through the outlet channel and moving them into the market. So we really looked at where we're headed, where is the inventory not consistent with that direction, and we took the opportunity to write-off that inventory into the fourth quarter. We will destroy that inventory consistent with the write-off charge. And just as a reminder, the inventory charge were shadowed both at Analyst Day and previewed in our 8-K filings prior to today.
Operator: The next question is from Dana Telsey with Telsey Advisory Group.
Dana Telsey - Telsey Advisory Group: Can you give us an update on the first-ever sale that you had in the full line stores in June. How did that do? What were the learnings? How would it be different when you look to the January sale? And any update on the outlook performance versus the prior quarter?
Jane Hamilton Nielsen: The semiannual sale met our expectations. So as you know, our strategy is to be more surgical and strategic, with how we're promoting in our retail stores, and in the past we've done special preferred customer events. We really curtailed those events in the fourth quarter to set us up for the semiannual sale. So it's a different strategy that really aligns us with kind of the fasten industry and other luxury brands. So it met our expectations in terms of performance and the goal of this semiannual sale really is to liquidate at end of season; fashion, colors, things that were very specific to the season. We're not looking at it as an overall liquidation strategy. And one of the most important things that we learned this season in our first-ever, is that it really bought new customers into the store. So we did have a high percentage of our sales that came from new customers into the brand, and we did market to it in our windows, in-stores and in print advertising. So we are very pleased with the results.
Dana Telsey - Telsey Advisory Group: And then on the outlooks, any update there?
Jane Hamilton Nielsen: More specifically, Dana, in terms of?
Dana Telsey - Telsey Advisory Group: How are promotions tracking versus how they had been in the prior quarter? How you're thinking of pricing in outlets versus the past?
Jane Hamilton Nielsen: So we continue to promote heavily in clearance in outlet during this past quarter, which has been consistent with the quarters before. That put a little bit of pressure on our margins. So we were promotional during the quarter. What we've been doing now is really tapering off that heavy level of promoting. And as we talked about also, obviously, taking into consideration our online business, the U.S. business pulling that back. What we're doing is emphasizing units in outlet, positioning ourselves at higher average unit retail prices, going out with new product launches, and we're finding that strategy to be very, very successful. So it is allowing us to lessen our dependence on clearance. We also have a number of pilots and testing in the market right now with different construct to again reduce the level of promotional activity, while maintaining good levels of conversion.
Operator: Our final question today is from John Morris with BMO Capital Markets.
John Morris - BMO Capital Markets: Following up on I guess the outlets a little bit. I think back on the Analyst Day you talked about experimenting or maybe kind of piloting a program, where you might close a couple of outlets, and then see what happens in full price stores in similar proximity. Can you give us just to remind us the numbers that you're looking at, if there is any change there or was it just a couple, when the timing of that might be? And any changes to your thoughts on that? And then just a quick comment about the launch of the men's footwear line, when that might be happening and is that across all stores?
Francine Della Badia: We are still planning on closing two outlets consistent with what we've said on Analyst Day. Those two outlet stores will be closing in the second half. And we really picked the two that we chose they are part of the 12 MSAs, our metropolitan statistical areas that we're focusing on in terms of our transformation strategy. And there are retail and outlet stores within a 30-mile radius. So these closures will allow us to measure the channel shift, and in these stores there is also a competitive presence. And what we're going to be able to measure is, will the consumer shift to another Coach channel, can we influence her or guide her to shift though targeted and strategic communication strategy. So that will happen in the second half, and we're still on target for that. In terms of men's footwear, we're launching men's footwear in the fall. And it will be a small launch, but we plan to bring footwear to our men's locations and in retail, specifically, in about 50 locations for the fall half.
Andrea Shaw Resnick: Thank you. That concludes our Q&A. I'll now turn it back to Victor, for some concluding remarks.
Victor Luis: Thank you, Andrea. And let me start by thanking all of you, who did attend our Analyst Day and as well, of course, for being with us today. I would just like to close by expressing my confidence in our plan, our brand, and most importantly in our people. As a company, this team has an amazing track record of transformation, business success and driving shareholder value. And our management team has clearly understood and embraced the need for change, the need to innovate and to evolve in what is a rapidly changing market. Our plan is bold and I certainly could not be proud of the steps we have already taken in bringing Coach the creative talent, to innovate, and to bring excitement and resonance to our brand, across all of the consumer touch points that we have been sharing with you. As we look to FY '15, it's a year of change and we all look forward to keeping you informed of our progress. Thank you.
Andrea Shaw Resnick: Thanks everyone.
Operator: Thank you. This does conclude the Coach earnings conference. We thank you for your participation.